Operator: Good morning, and welcome to the OneSpaWorld First Quarter 2022 Earnings Conference Call. All participants will be in a listen-only mode.  Please note this event is being recorded. I would now like to turn the conference over to Allison Malkin. Please go ahead.
Allison Malkin: Thank you. Good morning. And welcome to OneSpaWorld's first quarter fiscal 2022 earnings call and webcast. Before we begin, I would like to remind you that certain statements and information made available on today's call and webcast may be deemed to constitute forward-looking statements. The COVID-19 pandemic continues to have a significant impact on our operations, cash flow and financial position. The uncertain and dynamic nature of current conditions and its ongoing impact could materially alter our outlook. These forward-looking statements reflect our judgment and analysis only as of today, and actual results may differ materially from current expectations based on a number of factors affecting our business. Accordingly, you should not place undue reliance on these forward-looking statements. For a more thorough discussion of the risks and uncertainties associated with the forward-looking statements to be made during this conference call and webcast, we refer you to the disclaimer regarding forward-looking statements that is included in our first quarter 2022 earnings release, which was furnished to the SEC today on Form 8-K. We do not undertake any obligation to update or alter any forward-looking statements, whether as a result of new information, future events or otherwise. In addition, the company may refer to certain adjusted non-GAAP metrics on this call. An explanation of these metrics can be found in our earnings release issued earlier this morning. Joining me today are Leonard Fluxman, Executive Chairman and Chief Executive Officer; and Stephen Lazarus, Chief Financial Officer and Chief Operating Officer. Leonard will begin with a review of our first quarter performance and provide an update on our operations and our key priorities. Then, Stephen will provide more details on the financials and our liquidity. I would now like to turn the call over to Leonard.
Leonard Fluxman: Thank you, Allison. Good morning, and welcome to OneSpaWorld's first quarter 2022 results conference call. I'm pleased to report a very positive start to the year despite the COVID-19, Omicron variance negative impact on scheduled voyages, occupancy rates and onboard staffing in the quarter. I'm equally proud of our corporate team and our onboard and resort spa leadership who mitigated Omicron's impact on our staff and our operations, while always assuring our extraordinary standard of guest experience. Financially, the quarter included a significant increase in revenue compared to the fiscal 2021 first quarter, making -- marking our fifth consecutive quarter of sequential revenue growth. We reported positive adjusted EBITDA and adjusted net income with a better-than-expected cash burn rate. Operationally, we saw continued growth across key operating metrics, while maintaining our floaters return to service. As we look ahead, we continue to expect our performance trends to accelerate quarterly and generate sequential revenue growth with our annual performance expected to deliver positive adjusted EBITDA and positive adjusted net income. Turning to highlights of the quarter, total revenues were $87.7 million, up from $5.6 million in the first quarter of 2021, and improving sequentially from fourth quarter 2021. The growth reflects contributions from health and wellness centers that reopened on 120 ships -- 127 ships that resumed operation and the contribution from 48 destination resort spas. Adjusted EBITDA was positive $2.3 million with positive contribution from our health and wellness centers on both cruise ships and in destination resort spas on land, and we ended the quarter with total liquidity of approximately $44 million. We had many accomplishments for the quarter, most notably, our floaters return to service continued. The quarter saw us ready and trained staff to re-embark on additional 15 cruise ships. In addition, we commenced services and bought five new ships -- five new ship builds. As I mentioned at quarter end, we had health and wellness centers on 127 ships that have resumed voyages and expect to resume services on 168 ships by the end of the second quarter and all 178 ships by the end of the year. During the remainder of 2022, we anticipate operating health and wellness centers on seven additional new ship builds that will be introduced into service by our cruise line partners. We saw record demand by cruise ship guests for our services. While capacity on cruise ships remains below historical levels, we were very pleased to see continued high demand for our services. Key operating metrics during the first quarter of 2022 compared favorably with our first quarter 2019 performance, the most recent comparable period of normalized operations. For example, pre-booking percentage of service revenue was 4.5 percentage points above Q1 2019, and average guest spend saw improvement in the high teens over 2019. Service frequency per guests, guest penetration and revenue per staff per day were also positive compared to the first quarter of 2019. These improved operating metrics was driven by the continued innovation in our offering and focus on staff training. With this in mind, during the quarter, we implemented five intensification initiatives to increase guest spend and utilization, which contributed to the growth in key operating metrics. These included, improving retail conversion through solution sales training, where we reinforced our 5-step program, increased guest utilization through cross-promotion and rebooking tracking mechanisms and additional staff trainings. Growing guest spend with trainings on our skin lab to convert more guests to biotech facials and by introducing facial add-on menus that add to the experience with no additional treatment time needed, and lastly, increasing penetration by targeting families and teen audiences over the holiday period with the introduction of the spring break and teen menu. As we look ahead, ensuring a flawless return to service, it will continue to be our top priority. We have had a tremendous response from prior personnel and new applicants who've been eager to come back to our health and wellness centers. At quarter end, we successfully placed 2,369 cruise ship personnel on vessels for actual and anticipated voyages, overcoming the challenges of the pandemic, securing visas, COVID testing and travel restrictions. Despite these hurdles, our team members remain ecstatic to be back at sea. By the end of the second quarter, we expect to have 3,087 staff re-embarked on 168 vessels. Our London Wellness Academy continues to experience very strong demand from applicants, with nearly 1,300 students trained in the London Wellness Academy and at our other global training facilities since reopening. This is further confirmation of OneSpaWorld's leadership in training and certification. We believe how we manage our relationships with our employees with the staff and guests of our crews and destination resort spas, with the teams of our suppliers and that the communities we operate is fundamental to the success of our operations. We expect to have over 80% of our pre-pandemic stock returned to service on 178 operating ships by year-end. Further evidence of our commitment to the welfare and well-being of our people and its impact on our company's success and the value we delivered to our shareholders. With the onset of yet another unforeseeable global crisis, we have mobilized our corporate and onboard teams to support our staff impacted by the hostilities in Ukraine. We've enabled our Ukrainian staff who have returned to service to elect to remain onboard or to be repatriated to their homes at our cost through a gateway city of their choosing, and we have contacted all the Ukranian staff members of our staff who have not yet returned to service offering to promptly transport them to the safety of our shipboard facilities. Overall, we believe our first quarter performance continues to demonstrate the strength and resilience of our dedicated team and operating model. We begin second quarter with even more confidence that our actions have made OneSpaWorld better positioned than ever before, with a strong business model, collaborative Cruise Line and destination resort partnerships and an extraordinary team, we look forward to advancing our operational and financial performance throughout 2022 and ongoing to increase the value of all OneSpaWorld stakeholders. With that, I'll turn the call over to Stephen, who will comment on our first quarter results and liquidity position. Stephen?
Stephen Lazarus: Thank you, Leonard. Good morning, everyone. As Leonard mentioned, the first quarter saw the focused execution of our team and return to service drives significant growth in sales and a positive operating performance despite the Omicron variance negative impact in the quarter of approximately $17 million to revenue. We are very proud of our team and staff for their commitment to OneSpaWorld and their dedication to providing service excellence is exemplary, especially given the extraordinary circumstances of the pandemic and for our Eastern European staff members who are impacted by Russia's war in Ukraine. I will now share some of the highlights of the first quarter. Total revenues were $87.7 million compared to $5.6 million in the first quarter of 2022, and up from $85.7 million compared to the fourth quarter of 2021, even with the impact of the Omicron variant. The three months ended March 31, 2022, revenues were derived primarily from our 127 health and wellness centers, onboard ships having resumed voyages and our 48 open and operating destination resort health and wellness centers. Cost of services were $62.7 million compared to $7.5 million in the 2021 first quarter. The increase was primarily attributable to costs associated with increased service revenues of $66.6 million in the quarter from our operating health and wellness centers at sea and on land and increased costs related to the resumption of our operations at our health and wellness centers at sea and on land. Cost of products were $14.7 million compared to $1.3 million in the 2021 first quarter. The increase was primarily attributable to costs associated with increased product revenues of $15.5 million in the quarter from the operating health and wellness centers at sea and on land. Our net loss was $6.3 million compared to a net loss of $45.6 million in the first quarter of 2020. The $39.3 million improvement was primarily a result of a $12.5 million reduction in our loss from operations, plus the $26.7 million positive change in the fair value of our warrants. The change in fair value of warrants is the result of changes in market prices deriving the value of the financial instruments. Adjusted EBITDA was $2.3 million as compared to an adjusted EBITDA loss of $9.4 million in the first quarter of 2021. This represents the second quarterly period that the company recorded positive adjusted EBITDA since the onset of the COVID-19 pandemic. We ended the quarter with total liquidity of $43.9 million. At quarter end, $10 million remained available under the ATM program and with projected liquidity continuing to improve, we do not intend to utilize the remainder of the ATM program. The current availability under our line of credit was $13 million at March 31, 2022. The cash burn rate for the quarter of $1.9 million was better than our expectation of $2 million to $3 million. We expect to generate positive cash flow beginning in the second quarter and continuing quarterly thereafter as well as for the full fiscal year. As it relates to our outlook for 2022, due to the ongoing business disruption and uncertainties surrounding the continued impact to our business from the COVID-19 pandemic, we will continue to not provide guidance. Notwithstanding the foregoing, we continue to expect to incur a net loss in fiscal 2022 on a GAAP basis. However, we expect to achieve positive adjusted EBITDA and positive adjusted net income for the year. With that, we will open up the call for questions. Chad, if you could take the line, please.
Operator: Certainly. Thank you. We will now begin the question-and-answer session.  And the first question will come from Steve Wieczynski with Stifel. Please go ahead.
Steven Wieczynski: Hey, guys. Good morning. So, I know Stephen called out the $17 million in revenue, Omicron impact in the first quarter, but I want to dig into that a little bit more. And I guess the question would be, could you help us think about the cadence of that -- the $2 million you posted in EBITDA in the quarter. Just trying to understand what you guys think the actual impact from Omicron on the EBITDA line was. And would you have seen sequential EBITDA growth over the fourth quarter?
Leonard Fluxman: So, yes, Steve, it was a big headwind. The Omicron is actually, you know, when we spoke about it at ICR, we anticipated somewhere in the region of as high as $10 million top line. And based on our margin profile, you can figure out what the EBITDA, I mean it typically falls down at about 10%, 11%. The impact, so when you have close to a $20 million impact from Omicron headwinds related to cruise cancellations, quarantines on our staff services canceled, ships taken out of service, load factors going down to almost as low as when the cruise industry got back into service in June, July of last year, all of that impacted top line substantially and as well EBITDA probably close to the number we almost reported as positive EBITDA -- adjusted EBITDA. So, I would say about a $2 million headwind on EBITDA there.
Steven Wieczynski: Okay, great. And then, I don't know if you're going to answer this question, but have you seen EBITDA accelerate sequentially from March into or through April, I should say?
Leonard Fluxman: So, we are seeing substantially better load factors, and they've been growing sort of kind of started to climb out of the trough post Omicron towards the end of February and now climbing. Some banners have done an exceptional job and are getting load factors well above -- even some of them are well above 80%. Others are close to 80% but some of them are still getting there. So, the load factors are improving and will continue to improve from what we've seen. And similarly, our performance continues to improve alongside those load factors. So, the outlook as the load factors improve, as we move into Alaska, which is going to have more ships than any other season we've seen before, we're also going to see a pretty strong demand for the Mediterranean as well. So, I think we're very encouraged about the next quarter or second quarter that we've already entered into. And a lot of the   have already started. Even some of the Alaska cruises have just started to and some of the early reports look promising.
Steven Wieczynski: And my second question would just be, I want to make sure that through April, obviously, there's a fear out there, the consumer is slowing or potentially going to slow. I just want to make sure that you guys -- you have not seen that at all on board any of your ships or even on the land-based side of things?
Leonard Fluxman: No, we have not.
Steven Wieczynski: Perfect. Okay, thank you, guys, appreciate it.
Leonard Fluxman: Okay.
Operator: The next question is from Sharon Zackfia from William Blair. Please go ahead.
Sharon Zackfia: Hi, good morning. I guess the question, it's pretty hard on the outside to understand all of the excess costs that you have that are associated with the  backend staffing as the ships have returned to sea. I guess with that in mind, in the back half of this year, you'll be kind of more or less fully staffed. So, how do we think about the gross margins either for product or service as it relates to kind of 2019 levels? I mean both of those have been, I guess, in this quarter are roughly 300 basis points below 2019. Do you think you get closer to parity with 2019 and the back half of this year, or are there other things we need to think about that might continue to weigh on that for the remainder of this year?
Stephen Lazarus: Once we move into the final quarter of the year, Sharon, I do think we start getting back to parity. The third quarter, there's still a few ships coming back in. So, it could be close. But certainly, as we approach the end of the year full complements back, we expect occupancies on board to have significantly improved. We do expect margins then to have improved, too.
Sharon Zackfia: Great. Thank you for that. And then, as we look past 2022, can you give us an update on what your capacity growth looks like in the Maritime segment kind of for '23 and '24?
Leonard Fluxman: Yes. So, we've already taken, as we mentioned, five newbuild Sharon, this year, right. We're still expecting some newbuilds coming on through the remainder of the year. This should be during 2022, there should be a total of 12 OSW ships, so, another seven to be introduced. These are newbuilds outside of the total number, which I mentioned, which was getting us up to the 178 by year-end. And then, as you look out through 2023, there are approximately 10 OSW ships newbuilds. In 2024, we're looking at about a five or six OSW ships.
Sharon Zackfia: Great, thank you.
Operator: Thank you. And the next question will come from Steph Wissink from Jefferies. Please go ahead.
Steph Wissink: Hi, good morning everyone. We have a few questions, so we wanted to start with the ships that have returned to sea, are those proportionately larger? Is there anything within the portfolio of ships on the water versus those that are still in waiting to return that we should be conscious of when we're thinking about revenue per ship?
Leonard Fluxman: All the newbuilds are large ships and those generally, as you know, generate substantially larger revenues than the smaller ships. So, those will obviously have a positive effect as we move in to introducing them later on this year. And as you do recall, ships that were retired during the COVID period was significantly smaller, older and generated less revenues than the ones that are being introduced as we go through the next couple of years.
Steph Wissink: Okay. That's helpful. So, if we think about pre-pandemic versus maybe the next 12 to 24 months, we should be looking at the pre-pandemic revenue per ship average as being somewhat discounted versus what the possibility is. Am I hearing you correctly in terms of portfolio of ships post-pandemic will be more favorable in revenue per ship average?
Leonard Fluxman: Yes. I mean in general, you could say the cruise ships that have been introduced, and we introduced the best and largest ships first like Wonder of the Seas, Mardi Gras, big ships that are coming into service, Bilss with Encore. These are the larger ships that are coming into service. The smaller ships they typically put into service and to I wouldn't say lesser important revenues but geographies, the geographies where passenger size and load factors are going to be typically lower like as soon as Asia or Australia starts to get going. And certainly, we've just heard Australia is now reopened for cruising, which is good. So, those typically are the smaller cruise lines.
Steph Wissink: All right, very helpful. And then, I wanted to just give you a chance to talk a little bit more about some of the KPIs, the pre-book level being low to mid-single digits higher your revenue per visit. I think you said up in the mid- to high teens, might have been high teens. Just talk a little bit about some of those productivity enhancements through training and menu design that you've been implementing? And can you give us a sense of maybe what more opportunity there might be as you're thinking about kind of the post-pandemic revenue per ship and productivity?
Leonard Fluxman: Yes. So, it's one of our top and most important focus with our business reviews that we do with our cruise line partners every single month, which we do monthly now. And we're really focusing particularly on the cruise lines that don't perhaps utilize the pre-booking engine as well as some of the others and where the opportunities exist, and we'll take them through different geographies. We'll take them through what's working, what's not working across their pre-booking platform and how we can help them and how they compare to the capabilities where some of the others invest in practice are doing a better job. And this goes all the way through from dedicated spa e-mails, call to action bookings, guest segmentation targeting, calendar views that some of the cruise lines have, flash sales and you name it, we go through it, right? And so, each of the banners are being looked at, analyzed and then we'll take the results back to them, obviously, without showing who the competitor is that's doing better or worse, but we show them where the opportunities are. And from the early onset of what we've been doing with them, we're starting to see that there's huge buy-in to how they can improve with their pre-booking performance versus other companies, percentage of service revenue, utilization, frequency, penetration, guest spend and all the factors that we focus on. So, we're utilizing the data that we've been talking about for some time now to now be able to dissect what's happening on the pre-booking and see where the opportunities are to do more.
Steph Wissink: All right, very helpful, as always. Thank you.
Leonard Fluxman: Yes.
Operator:  The next question will come from Assia Georgieva from Infinity Research. Please go ahead.
Assia Georgieva: Good morning, guys. Congratulations on yet another quarter of improving results. I wondered if we were going to look sort of through the next three quarters, is it fair to assume that EBITDA could possibly be in the $15 million range?
Stephen Lazarus: So, it's Stephen, I guess are you saying is it possible that for each of the next three quarters, it could be in the $15 million range?
Assia Georgieva: No, we could get above $15 million cumulative quite easily for the remainder of the year -- I'm sorry, Steve.
Stephen Lazarus: Cumulatively, yes, cumulatively, absolutely; the answer is cumulatively, yes.
Assia Georgieva: And separately, and I think, Leonard, just maybe more for you. You touched on some of the geographies, including Alaska and the Med doing well. Should we expect a standard number of European passengers we have in the past? Or are we more reliant do you think on the U.S. source passenger base, because of travel vaccination rates in similar hurdles?
Leonard Fluxman: I think there's a lot of pent-up demand for both Alaska and maybe even more so Med. Obviously, there has been some itinerary shifts given what's going on in Ukraine, but none of which has impacted bookings thus far because they're able to shift those itineraries pretty fast. I think the pent-up demand for travelers to go overseas, on a ship safely, get to see five or six different ports having been locked up for two years or 2.5 years, I feel very confident about the fact that you're going to see more U.S. content in the Mediterranean than maybe you saw pre-pandemic.
Assia Georgieva: Great. And one last question. We tend to discuss this pretty much on every call. In terms of future uses of cash, given the fact that you would be turning cash flow positive in the current quarter. Could you remind us what your thinking is and whether you have made any new decisions or changes to your thinking?
Stephen Lazarus: We have not made any changes to our thinking of yet. Our prioritization with the use of cash in the near term remains the same, specifically pay down the $6 million that's drawn on the revolver, pay down the $25 million second lien, which has a high interest rate, as you know, the LIBOR plus 7.5%. And thereafter, you look at a combination of perhaps doing something with the first lien and/or and none of this has to be mutually exclusive, buying back some of the company's stock or only introducing a dividend program.
Assia Georgieva: And Stephen, any chance to be able to refinance the debt? Or it would be net-net more expensive to do so than to start paying account.
Stephen Lazarus: In terms of the second lien, we would prefer to reduce overall the debt that's being carried by the organization so that for future disruptions that may or may not occur, there's less of a burden on the company. So, we are not planning at this point in time on refinancing that $25 million. We actually want to get rid of it in its entirety.
Assia Georgieva: Sure. That makes a lot of sense. Thank you so much. Thank you, both.
Stephen Lazarus: Yes. You are welcome.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Leonard Fluxman for any closing remarks.
Leonard Fluxman: Thank you. Before I close the call, I'd just like to reiterate that we're excited about our business outlook for the rest of 2022. We believe our competitive advantages as the preeminent leader in the operation of health and wellness centers at sea and a destination results on land combined with the benefits of our asset-light business model and the resiliency of the Beauty Health category to serve us well. And in tough economic times, our business has proven resilient even in times of recession as we only require a small percentage of shipboard passengers to book our services in order to achieve our operating targets. We look forward to operating on an increasing percentage of contracted ships during the second quarter and the increasing potential added from the new shipbuild that we'll take delivery of through the remaining part of the year, innovation in our product and service offering and increasing utilization rates from our effective training tools. Thank you again all for joining us today, and we look forward to speaking with you when we report our second quarter results. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.